Operator: Greetings. And welcome to the CVR Partners Fourth Quarter 2022 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Richard Roberts, Vice President of Financial Planning and Analysis and Investor Relations. Thank you, sir. You may begin.
Richard Roberts: Thank you, Christine. Good morning, everyone. We appreciate your participation in today’s call. With me today are Mark Pytosh, our Chief Executive Officer; Dane Neumann, our Chief Financial Officer; and other members of management. Prior to discussing our 2022 fourth quarter and full year results, let me remind you that this conference call may contain forward-looking statements as that term is defined under federal securities laws. For this purpose, any statements made during this call that are not statements of historical facts may be deemed to be forward-looking statements. You are cautioned that these statements may be affected by important factors set forth in our filings with the Securities and Exchange Commission and in our latest earnings release. As a result, actual operations or results may differ materially from the results discussed in the forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise, except to the extent required by law. Let me also remind you that CVR Partners completed a 1-for-10 reverse split of its common units on November 23, 2020. Any per unit references made on this call are on a split-adjusted basis. This call also includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures, including reconciliation to the most directly comparable GAAP financial measures are included in our 2022 fourth quarter earnings release that we filed with the SEC and Form 10-K for the period and will be discussed during the call. Let me also remind you that we are a variable distribution MLP. We will review our previously established reserves, current cash usage, evaluate future anticipated cash needs and may reserve amounts for other future cash needs as determined by our general partner’s Board. As a result, our distributions, if any, will vary from quarter-to-quarter due to several factors, including, but not limited to, operating performance, fluctuations in the prices received for finished products, capital expenditures and cash reserves deemed necessary or appropriate by the Board of Directors of our general partner. With that said, I will turn the call over to Mark Pytosh, our Chief Executive Officer. Mark?
Mark Pytosh: Thank you, Richard. Good morning, everyone. Thank you for joining us for today’s call. The summarized financial highlights for the fourth quarter of 2022 included net sales of $212 million, net income of $95 million, EBITDA of $122 million and the Board of Directors declared a fourth quarter distribution of $10.50 per common unit, which will be paid on March 13, 2023 to unitholders of record at the close of the market on March 6th. For the full year 2022, we reported EBITDA of $403 million and record distributions of $24.58 per common unit, all while completing planned turnarounds at both of our facilities during the year. We also repurchased approximately 112,000 CVR Partners common units and we completed our targeted debt reduction with the repayment of the final $65 million of 9.25% notes that were outstanding. We are proud to report continued improvement in our environmental health and safety metrics in 2022, with only one recordable injury for the entire year, for a total recordable incident rate of 0.3, a reduction of 86% compared to 2021. We also received -- achieved a 37% reduction year-over-year in Tier 1 process safety incidents. In December, we published our first external ESG report for 2021 in conjunction with CVR Energy, which can be found on our website. Our facilities ran well during the fourth quarter of 2022, with consolidated ammonia plant utilization of 96%. This resulted in combined ammonia production of 210,000 gross tons, of which 75,000 net tons were available for sale and UAN production of 308,000 tons. During the quarter, we sold approximately 261,000 tons of UAN at an average price of $455 per ton and approximately 77,000 tons of ammonia at an average price of $967 per ton. Relative to the fourth quarter of 2021, UAN and ammonia sales volumes were lower, primarily due to reduced inventories carried into the quarter as a result of the planned turnarounds completed in the third quarter of 2022. Prices for the fourth quarter improved significantly from the prior year period, with UAN prices increasing 31% and ammonia prices increasing 30%. Following the completion of the turnaround from the third quarter, both facilities have run well and we achieved record ammonia production in the month of December at East Dubuque and last month, January 2023, at Coffeyville. As expected, our realized prices for the fourth quarter increased from third quarter levels as we have sold a significant amount of our production early in the quarter when pricing was strong. We also sold more than half of first quarter 2023 production in 2022, which I will discuss further in my closing remarks. I will now turn the call over to Dane to discuss our financial results.
Dane Neumann: Thank you, Mark. Turning to our results. For the full year 2022, we reported net sales of $836 million and operating income of $320 million. Net income for the year was $287 million or $27.07 per common unit and EBITDA was $403 million. For the fourth quarter of 2022, we reported net sales of $212 million and operating income of $102 million. Net income for the fourth quarter was $95 million or $9.02 per common unit and EBITDA was $122 million. Relative to the fourth quarter of 2021, EBITDA increased primarily due to higher UAN and ammonia sales prices, along with lower direct operating costs due to inventory impacts. Direct operating expenses for the fourth quarter of 2022 were $52 million. Excluding inventory and turnaround impacts, direct operating expenses increased by approximately $4 million from the fourth quarter of 2021, primarily related to higher electricity and natural gas costs, and increased repair and maintenance expenses, offset somewhat by lower personnel costs. Capital spending for the fourth quarter was $2 million, which was primarily maintenance capital and full year 2022 capital spending was $41 million. We estimate total capital spending for 2023 to be approximately $33 million to $36 million, of which $31 million to $33 million is expected to be maintenance capital. We ended the quarter with total liquidity of $121 million, which consisted of $86 million in cash and availability under the ABL facility of $35 million. Within our cash balance of $86 million, we had approximately $14 million related to customer prepayments for the future delivery of product. In assessing our cash available for distribution, we generated EBITDA of $122 million and had net cash needs of $11 million for interest costs, maintenance CapEx and other reserves. As a result, there was $111 million of cash available for distribution and the Board of Directors of our general partner declared a distribution of $10.50 per common unit. Looking ahead to the first quarter of 2023, we estimate our ammonia utilization rate to be between 95% and 100% for the quarter. We expect our direct operating expenses to be $55 million to $65 million, excluding inventory impacts and total capital spending to be between $5 million and $10 million. With that, I will turn the call back over to Mark.
Mark Pytosh: Thanks, Dane. In summary, we were pleased with our fourth quarter results, driven by strong product prices and solid production, with an ammonia utilization rate of 96% for the quarter. The harvest was completed on time, which allowed farmers to get in the field for an early fall ammonia application. The USDA estimates the final planted corn acres were 88.6 million, with estimated yields of 172 bushels per acre and soybeans were estimated at 87.5 million planted acres with yields of 50 bushels per acre. Inventory carryout levels are estimated to be 8% for corn and 5% for soybeans, keeping inventories at or at the low end of the 10-year range. As a result, grain prices remain strong, with corn at $6.80 per bushel, soybeans at $15.30 per bushel. These strong grain prices are continuing to generate attractive farmer economics, which should bode well for nitrogen fertilizer demand for spring 2023. Analysts are currently estimating 91 million to 93 million planted corn acres for the U.S. this year. In the third quarter and fourth quarter, we experienced strong demand in the U.S. for nitrogen fertilizer due to added demand from Europe as a result of the shut-in production capacity. Several U.S. and Trinidad producers were exporting nitrogen fertilizer to meet the supply shortfall in Europe, which caused supply tightness in the U.S. Pricing was strong in the late third quarter and the fourth quarters, allowing us to take advantage of those market conditions to sell our fourth quarter production and more than half of our first quarter production. Due to warmer than expected weather in Europe and the U.S., starting in December, natural gas supplies have increased and prices have fallen significantly both in the U.S. and Europe. As a result, spot prices for all nitrogen products have fallen from the high levels in the fall. With the recent decline in natural gas prices in Europe, we have seen some of the offline capacity come back online, although the cost curve remains dramatically in favor of the U.S. There’s currently about a $500 a ton advantage to produce ammonia in the U.S. compared to Europe. While the extreme pressure on natural gas has subsided for now, we do not believe that the structural issues that initially drove the European natural gas prices higher have been solved and will likely remain in effect through 2023. We also expect, as we get closer to the spring planting season in the coming weeks, demand for nitrogen fertilizer will improve due to strong grain prices and farmer economics. While we may not see the high prices of spring 2022, we still expect a solid market and good demand for product in the spring of 2023. On 45Q tax credits for the Coffeyville facility we completed the transaction with tax equity investors on January 6th and received initial net cash proceeds of approximately $18 million, which would potentially add to cash available for distribution for the first quarter of 2023. We expect to receive additional proceeds of up to $60 million over the next seven years related to 45Q tax credits if certain conditions are met. We believe that our 45Q transaction is the first to reach closing under the new framework. We are also continuing to evaluate our future options at the East Dubuque facility as several developers are pursuing sequestration projects near the plant. We will update on these efforts on future calls. With the turnarounds behind us, we are doing more work to evaluate the brownfield development projects at both plants that could be attractive targeted capacity increases to our existing footprint. If the full cycle economics of each project are attractive and approved by the Board, they would likely take several years to complete. As I have mentioned previously, we are not currently contemplating any greenfield development projects. In 2022, we took advantage of the strong nitrogen fertilizer market condition to strengthen our balance sheet, while investing in our plants to improve reliability and returning cash to our unitholders. With no turnarounds currently planned until the fall of 2024 at the earliest, we will be focused on maximizing free cash flow generation and unitholder returns. With strong fourth quarter results, we are pleased to be paying a $10.50 distribution to our common unitholders. As always, our business plan will focus on safely and reliably operating our plants, with a keen focus on the health and safety of our employees, contractors and communities, prudently managing costs, being judicious with capital, with targeting select investments and reliability projects and incremental additions to production capacity, maximizing our marketing and logistics capabilities and targeting opportunities to reduce our carbon footprint. In closing, I’d like to thank our employees for their excellent execution for all of 2022, particularly during the turnarounds at both plants, while generating our best environmental health and safety results in the partnership’s history. With that, we are ready to take any questions.
Operator: Thank you. [Operator Instructions] Thank you. Our first question comes from the line of Rob McGuire with Granite Research. Please proceed with your question.
Rob McGuire: Good morning, Mark, Dane and Richard. Nice quarter.
Mark Pytosh: Good morning. Thank you.
Rob McGuire: I am trying to get a better idea in terms of the environment heading into the spring season. Can you give us a feel for your first quarter order book at this point, maybe relative to where it is normally at this time of the quarter?
Mark Pytosh: I would say we are pretty much in the normal conditions. We are near the end of February. So the quarter is only a month to go and so we are sold through the first quarter at this point and that’s typical for this time of the year. So I wouldn’t -- I don’t think it’s been any different this year than prior years.
Rob McGuire: Got it. And then do you normally pre-sell volumes into the second quarter as well and has the -- I have heard a little bit about a buyer’s strike out there, has that affected any of your pre-sells as well?
Mark Pytosh: We -- it varies by product. So we sell ammonia and UAN. And typically, the ammonia component of the nitrogen is pretty sold, which is typical and that happened this year, that usually is late in the prior year and so that occurred back in the fourth quarter, but in normal market conditions. Buying has been slower in the first quarter for spring and so there’s been less of that. But what we did was we had sold more than we typically would have for the first quarter back in the fall. So, net-net, we are probably in the same or better positioned from an order book sizing perspective than normal at this point.
Rob McGuire: I appreciate that. Thank you. And then shifting gears, can you just discuss how you would finance plant expansions and would you use cash flow from operations, new debt? What would be your most likely source?
Mark Pytosh: Yeah. I would say that, we would most likely use cash from operations. I think if you recall from maybe three quarter or four quarters ago, we were comfortable with our leverage level where when we refinanced ourselves last year. We wouldn’t likely be looking to add leverage to the balance sheet at this point. So we would fund it out of cash from operations.
Rob McGuire: I appreciate that. And then natural gas has come down here, is there an option of hedging forward purchasing of natural gas at recent prices for the rest of the year or -- can you just give us an idea of -- can you lock in at these prices?
Mark Pytosh: Yeah. The way we thought about it philosophically is, because -- the way I think about it is our products kind of move around partially with, it’s not in perfect correlation with natural gas prices, but it is affected by it. But we typically -- when we pre-purchase natural gas, we have done it to avoid catastrophic weather events. So we typically have been -- when we did buy ahead, we bought it for the winter, because that’s when your greatest risk is and we typically have not been a pre-buyer or hedger during the course of the year and I don’t think we would intend to change that at this point.
Rob McGuire: Thank you. And then, lastly, on a different topic, are you seeing the Russian imports of UAN having an impact on U.S. markets at this point?
Mark Pytosh: What I would say about and I would put urea in the same category, as there was effect for a short period of time last year in the second quarter and that -- the trade flows all, I’d said, reverted back to kind of normal. The U.S. has been a buyer of Russian product and continues to be on both urea and UAN. So, but that’s been going on for quarters now and it was only affected at the beginning of the war with the Ukraine, where there was a pause in exports to the U.S., but that resumed last summer and has been continuing. So Russian urea and UAN are coming to the U.S. or being imported here and have been for the last few quarters.
Rob McGuire: Thank you for all that color. That’s it for me.
Operator: Thank you. We have reached the end of the question-and-answer session. I would now like to turn the floor back over to management for closing comments.
Mark Pytosh: Well, we appreciate everybody being on the call today and we look forward to talking to you here with our first quarter results in April. Thank you very much for participating.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.